Sota Endo: We would now like to start the presentation of the third quarter -- FY 2025 third quarter financial results of NTT DATA. My name is Endo from the IR office. I will be serving as the moderator today. Regarding today's materials, please refer to the financial results briefing session materials posted on our company's IR website. I would like to introduce the attendees today. Nakayama, Representative Director and Senior Executive Vice President; Nishimura, Director and Senior Vice President, Head of Corporate Planning, General Headquarters; Kusakabe, Senior VP, Head of Finance Headquarters. Total of 3 will be attending.
Sota Endo: Today, we will start from the Q&A session. Without further ado, we would like to take question. [Operator Instructions] First question, SMBC Nikko Securities, Kikuchi-san.
Tatsuma Kikuchi: Kikuchi speaking. I have 2 questions. First is this fiscal year, in Q2, July, data center shifted to REIT, it was a bit off from the initial assumption, and so you revised. But since then, there has not been any revision. Are you trending as planned? In Q4, how much profit are you expecting and for the full year?
Kazuhiko Nakayama: Thank you. I will go one by one. Nakayama speaking. Thank you very much for the question. So at this time, the performance forecast was revised. So about the gain on sale of data center was revised downward. Others are in line, no change from the initial forecast. Q3 financial results, if I could explain a little. In data center, the fee income was a bit large. There were some one-off positive factors. So including that, Q4 -- for other areas, it's not that we have much headroom, but especially on the overseas side, we had a stretched target year-on-year. So there is a downside risk. But we want to somehow achieve the target for this year. So that is the key focus. In Japan, in public sector, in Q3 and year-to-date, we are negative year-on-year. We are trying to come close to the target as possible. And in other financial and enterprise, we will try to cover the shortfall. I think this is a question by others, too. Second question, I asked this question to the holdings, too.
Tatsuma Kikuchi: In the new year, I'm sure you will discuss further. But in Q4, you may not be planning a capital recycling, but other than REIT, you may have some capital recycling in Q4. So what is your forecast? If not, and even not in Q4, what is your thinking on REIT and non-REIT capital recycling in the next fiscal year? What is your policy? Capital recycling disposal. So gain on sales, so how much gain you can get and whether you will do it or not is also my question.
Kazuhiko Nakayama: First, data center gain on sale, we have nothing planned for Q4. And next year, FY '26 data center gain on sale, we have nothing fixed yet. As we've mentioned from the past, FY '25 data center gain on sale was Singapore REIT IPO. So to form the REIT price, we had to have the liquidity. So we had quite a big sale for that. So the second and third offering are usually smaller than the IPO amount, a fraction of IPO amount in normal cases. When we launched this REIT, we considered the portion for IPO and for the follow-on, we've thought of the -- so the ones that are mature and can have certain level of yield, and we also think of the regional balance. Our plan for next year is not fixed. And we understood by doing this IPO in FY '25, depending on the market trend, we get impacted. So the initial plan, it may be good or bad to mention the amount that we plan upfront. But our general thinking is not do IPO and put an end to it. We want to do some more deals to realize the cash flow early on and prepare for the next investment. So if I mention the amount, the number will help the analysts, I know, but that's not the nature of what we're trying to do. So once we have a clearer number, we will share it with you. And one clarification. Next fiscal year, data center investment, I will ask you again 3 months from now, but JPY 300 billion or JPY 400 billion. And then you recycle and also finance debt. So asset and debt will increase more next year, so you cannot help but increase? Yes. Data center investment from FY '23 to '27, we say over JPY 1.5 trillion. So that's the general trend. And the data center demand, given the strong demand, we now do business with hyperscalers, but we get orders and try to address those orders. So data center sales and profit will become sizable in the medium term. Of course, the key is the balance with the leverage. But -- and cannot mention the numbers how much next year, but the general direction is no change from the past. So most likely, we will move forward like we've done in the past.
Sota Endo: We'd like to take the next question from Goldman Sachs Securities, Mr. Tanaka.
Chikai Tanaka: This is Tanaka from Goldman Sachs Securities. I wanted to ask the 3 questions, including confirmation of the numbers. The first is regarding the fee income of the data centers. The one-off factor, how much of a plus or negative impact did it have on the -- sorry, the first -- the third quarter on a quantitative manner? Can you quote on that on a quantitative manner?
Keisuke Kusakabe: This is Kusakabe speaking. I would like to answer your question. The data centers, it's sold as an asset and from where it's into a joint venture. If it sells, we are going to receive the revenue. That's a one-off situation. But the third quarter is about JPY 5 billion. And I believe that in the first half, I believe, was about JPY 5 billion. So 9-month total is about JPY 10 billion.
Chikai Tanaka: Okay. So the one-off factor is about JPY 5 billion. Is that the correct understanding? Limited only to the data center, yes, because there are other factors. So may I mention that?
Keisuke Kusakabe: At this time, the overseas -- well, North America, we were able to receive a subsidy from the government. That was about JPY 3 billion. So that's about it for the large number factors.
Chikai Tanaka: My second question, Japan domestic situation. Overall, I think it is steadily performing. However, for the public and social infrastructure, what is the background on the strength of new orders? And I think there is a reactionary decline this year. So when is that going to turn around is what I would like to confirm with you.
Tadaoki Nishimura: This is Nishimura speaking. I'd like to answer your question. The reason why the new orders performance is strong, the digital agency is showing their policy, the facilities advancement to improve the convenience of the people and increase investment in this area. So CAGR, it's about 8% growth market is what we expect. That is the factor behind this. And the other point is that, what was the other question?
Chikai Tanaka: The reactionary decline whether it's only this time only for the public and social infrastructure. There's quite a large-scale system development, and this continues for multiple years. So in several -- once in several years, there's such a timing that occurs. So whether it's just only this time?
Tadaoki Nishimura: Well, such a timing arises every several years. That's all. So this decline, reactionary decline, it's not regular. It happens on an ad hoc basis.
Chikai Tanaka: But what the impact of that for this fiscal year, is that going to continue on to next fiscal year is what I wanted to ask.
Tadaoki Nishimura: From next fiscal year onwards, whether it is -- we will have a reactionary decline. Last year, we had a very high margin project. And due to that, this year, as a reaction to that, it's declining, but this is not going to carry over to next fiscal year.
Chikai Tanaka: Lastly, the overseas business, the orders received environment overall, what is the trend? It seems that there's quite of a drop in North America. Is that just a difference depending on the quarter, but I wanted to confirm that situation. And recently, which is the hot topic, this is the disruption type of topic in the AI, especially in the overseas market, it is considered to be an issue. And because you have a quite a weight in the overseas business, so what is your take on this part is what I would like to confirm as the third point.
Tadaoki Nishimura: Regarding the overseas new orders received, do you want to know by region?
Chikai Tanaka: Yes, roughly speaking.
Tadaoki Nishimura: North America, first of all, regarding this fiscal year, well, last fiscal year, we had a large-scale project. And even though such project existed, this third quarter, regardless of that, we were able to receive orders regarding quite a large-scale project as well. So the growth we use this dedicated team for growth projects, and they are going out there to receive the orders. Therefore, we are seeing that effect of that at an early stage. So North America, this quarter has turned around to an increase in revenue. And so those efforts, actually, were the factors for the turnaround for North America region. And Europe, depending on the specific region in Europe, it differs or the country differs. The U.K. we brought in a growth office that we've done in North America. And so U.K. and the new orders received, we're seeing a positive impact from this establishment of this office. Germany, in terms of orders received, there are areas that they're struggling still. Starting from last October, the top management has been replaced. And in Germany as well, they are utilizing the Indian resources, which is -- well, it's like a North American model that they have applied. So the multinational corporations in Germany, they are proactively conducting the activities towards those companies. This fiscal year, the orders have not been fixed yet. However, from this fourth quarter onwards, we can expect orders coming in or it is becoming firmer. So in that sense, moving forward, we will start to see improvements in the new orders received side. And EMEAL, so up to now, they were steadily performing. And so they are progressing as usual. And lastly, APAC, Australia is not doing well quite a bit. So regarding Australia, regarding the orders received side, we have not seen a turnaround in the actual terms. However, Australia as well, reinforcement of the sales force is what we are doing. By industry, we are thoroughly responding to this situation. So the outcome of these efforts for Australia, we are having expectations towards that and waiting for it. And India within the APAC region are quite steadily performing and the Indian economy itself within the APAC region, they have a high growth rate as well. Therefore, in India, we're able to acquire quite a level of orders. And the other remaining areas of APAC, the cloud and security, there are strong performing due to the high demand of tech areas. The advanced team of U.S. is taking the lead and the know-how is utilized in APAC. And we are seeing the positive factor. And so those are the positive materials for this area.
Chikai Tanaka: So regarding AI disruption, what kind of perspective do you have?
Sota Endo: So Nishimura would like to answer that question.
Tadaoki Nishimura: Using AI and improving the efficiency, the cost reduction pressure probably is going to becoming stronger is the outlook we have. And globally, when conducting the BPO business, the improvement of efficiency in incorporated type of contract is starting to show up. So on the customer side, the AI efficiency improvement that they do internally, they're outsourcing it. That is the situation. So specifically speaking, by the rise of AI disruption, we have expectations for the new business being deployed. So that part, we are positively receiving this. The negative part is that looking at the other companies' financial results, with this rise, it's not that they are experiencing a decline in their revenue or sales. That is our understanding. That is all.
Sota Endo: So next question, JPMorgan Securities, Henderson-san.
Matthew Henderson: Henderson from JPMorgan. Thank You about the financial results, Q3 segment by segment. So there's a reactionary fall from last year in the public sector, but good impression on your business. Overseas profit margin may flip next year. You will continue your structural reform expenses, although lower than this year. So Q3, Y-o-Y profit margin, EBITDA margin may improve by 2 or 3 percentage points. It's improving by 2 to 3 percentage points. But in Q3, will you continue improving at that rate and next year and enter the 10 percentage territory? Are there any changes internally?
Kazuhiko Nakayama: Nakayama speaking. Thank you for the question. First of all, for Q3, as Kusakabe-san said earlier, overseas, there were some one-off positive factors. But the underlying basis by region, we're seeing an improvement. So you are right. Now profit margin, will we have the same level of profit margin in Q4? Q4 volume is quite large, and there are some unique treatments we need in the end of the year. So our forecast is we don't know if the Q3 profit margin will remain unchanged in Q4. I cannot give you a clear-cut answer there. On Page 12, profit margin trend is shown. This line graph is shown. But because we're showing this, we want to work hard to give you some positive results and numbers, but that is our view on Q4.
Matthew Henderson: My second question is on data center. There was a big order in Q3. And looking at the external environment, data center demand remains strong. Are there risks that you cannot execute your current orders like the utility or power shortage or construction capacity or the raw material cost increase? Any risks that may hinder the order execution? Or can we be optimistic? So according to what you hear from the on-site is that there are no risks really, no such risks. As I mentioned earlier, large hyperscalers deals account for more than 80% of the new orders, and these are made to order. We do after we receive orders and the term is 10 to 15 years, very long. And the customers have financial strengths. So there is small risk that this gets canceled or deviate due to customers' situation. Now the former NTT Communication, North America, Germany and India. So that was the start, purchasing those companies in the region. And initially, the operation was independent by region. But now we work with hyperscalers. So the raw material procurement and design are now unified and centralized globally. So raw material delivery is now optimized and try to exchange and interchange when necessary. So we don't have the risks that you just mentioned. We have high expectations in Q4 and next year.
Sota Endo: [Operator Instructions] The next question will be the last one of Nomura Securities, Mr. Masuno.
Daisaku Masuno: This is Masuno from Nomura. I have simply 3 questions. The first is on Page 13, the structural reform of the overseas business. From next fiscal year onwards, so if you have about 2 years, this JPY 151 million will disappear in 2 years, and the synergy is going to be JPY 30 billion. And in total, about JPY 50 billion is going to contribute to the profit. So if you have 1 or 2 years, there's about JPY 50 billion of contribution to the profit. Is that the correct understanding?
Sota Endo: Nishimura would like to answer that question.
Tadaoki Nishimura: First of all, regarding integration of the overseas businesses, we have been working on it up to now as well. As you can see here on the chart, the upgrade of the business processes and optimization of business operation and moving forward, we have the ERP integration. And from next fiscal year onwards, what is the budget for it? We're still considering it. And there's nothing that I can share with you that is clear. But to a certain extent, we will spend a certain extent of expense to business transformation by integration. And the synergy, was it non-synergy? The categorization of that because the integration is progressing, it's difficult to say that. But if you look at the Inc. overall growth, we will grow more than the expense that is required. Whether it's around JPY 50 billion at this point, I cannot give you a clear answer.
Daisaku Masuno: And then my second question is regarding the sales of the data center. Truly, I think it is a way of actually selling a very crown jewel asset. So last -- end of the last fiscal year, the noncurrent asset, the others is JPY 2.2 trillion and the equity depreciation or amortization itself is JPY 1.2 trillion. So I think you should sell about JPY 50 billion and have the cash going to your company, and then you don't have to sell data centers. And that part to the holding company, sell the -- ask them to sell their treasury shares and create that cash.
Kazuhiko Nakayama: This is Nakayama speaking. At the second quarter, I think Mr. Masuno, you did give us a similar comment. So we are taking note on that -- we have been taking note on that. So I do understand your opinion very well. Having said that, at the end, the EBITDA number, how much are we going to increase that? And how much investment are we going to make towards the data center? Well, the data center is quite a long period project or business. So there's an immediate profit. But how it's going to be 5 years from now, 10 years from now? When we think about that, how are we going to think about the balance with the cash side are the factors that we need to consider and make the final decision. I do understand your opinion very well.
Daisaku Masuno: Lastly, AIVista. You're going to have your Top Gun team do this. But every day, there's a new announcement made from the U.S. So you can't spend that much of a long time. What I'd like to ask is that if you have about 12 months, will the first platform be completed? Is that the sense of speed that you are taking in? Because if you take too much time, what you created at the initial stage is going to become obsolete. So at what timing will the first phase of the first platform be completed?
Tadaoki Nishimura: This is Nishimura speaking. Thank you very much for your question. You are correct. Because the changes occur so fast, and how we can come about with something quickly? Is that going to become the key? So next fiscal year, we would like to come out with a certain deliverable. And this company itself is not a large-scale company. It's about between 30 to 50 headcount size company. And there is sales specialists that are very well versed in the industry, exists in each country. So utilizing this talent, we would like to create a new business case. So by next fiscal year, we are working on so we can come out with a certain deliverables. So please look forward to that.
Sota Endo: So we answered all the questions that were raised. So we would like to close NTT DATA's Q3 financial results briefing. Thank you very much for your attendance.